Operator: Ladies and gentlemen, thank you for standing by, and good evening. Thank you for joining Sohu’s Third Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management’s prepared remarks, there will be a Q&A session. Today’s conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today’s conference call, Mr. Eric Yuan, Investor Relations Director of Sohu. Thank you. Please go ahead, sir.
Eric Yuan: Thank you, operator. Thank you all for joining us today to discuss Sohu’s third quarter 2013 results. On the call are Chairman, Chief Executive Officer, Dr. Charles Zhang; Co-President and the Chief Operating Officer, Belinda Wang; Co-President and the Chief Financial Officer, Carol Yu. Also with us from Changyou are, President Dewen Chen; Chief Financial Officer, Alex Ho; as well as CEO of Sogou, Xiaochuan Wang; Vice President of Sohu Entertainment and Sohu Video, Ye Deng. Before management begins their prepared remarks, I would like to remind you of the company’s Safe Harbor statement in connection with today’s conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about the potential risks and uncertainties, please refer to the company’s filings with Securities and Exchange Commission, including its registration statement and most recent Annual Report on Form 10-K. Now, let me turn the call over to Dr. Charles Zhang, Chairman and CEO. Charles, please proceed.
Charles Zhang: Thank you and thanks to everyone for joining our call. The third quarter of 2013, sets a strategic milestone for the Sohu Group. On September 16, we formed a partnership with Tencent, whereby Tencent invested in our search subsidiary Sogou. This partnership has pro forma impact in two respects. First, it transforms the competitive landscape of China’s online search market. The New Sogou now incredible and the fastest growing contender in both PC and mobile search, secures a solid top three position in this important space. Second, for the Sohu Group, the new and stronger Sogou is now capable of bringing either, more users traffic and other synergies to our video online gaming and other businesses. This enhances the overall competitiveness of the Sohu Group and we’re now all set to expand aggressively in our various business segments. Turning to our financial performance for the third quarter, I’m glad to report our total revenue are up 29% year-on-year to $368 million. Notably, brand advertising revenues grew 60% from a year ago, which is the highest growth rate since the third quarter of 2008. In particular, Sohu video advertising revenues tripled from last year. Sogou demonstrated another quarter of healthy growth with revenues increasing 53% year-on-year. Changyou made steady progress in core gaming business and on other initiatives and it delivered financial results in line with its expectation. I’d like to share some third quarter financial highlights with you. Total revenues are $368 million up 29% year-on-year and 9% quarter-over-quarter. Net brand advertising revenue were $125 million up 60% year-on-year and 25% quarter-over-quarter. Sogou revenue were $57 million up 53% year-on-year and 14% quarter-over-quarter. Online games revenue were $161 million up 7% year-on-year and down 4% quarter-over-quarter. Non-GAAP diluted EPS were $0.51. After my remarks, Belinda will discuss our brand advertising business and our mobile strategy while Xiaochuan Wang will talk more about specific development at the New Sogou. Now, let me first discuss our online video business in more detail. For Sohu video, perhaps the most exciting event during third quarter was the launch of The Voice of China Season 2, broadcasted between July and early October. On TV the show exceeded Season 1’s big success and made a more fierce competition among prime-time variety shows. It retained number one position and achieved even higher average rating than Season 1. On internet, Sohu video broadcasted the 15-episode series on an exclusive basis to an even bigger online audience than the first season. We attracted close to 300 million users, with half of them being our new users and generated nearly 2 billion video views. The user-rich and the video view data both set a new record for any single show in China’s online video history. In addition to The Voice of China, we offered users an extensive selection of content with wide coverage of hot TV dramas. For example, two drama series Little Daddy and A Happy Life (inaudible) generated in aggregate of 1 billion video views over the first 30 days of broadcast, also, a new record on our platform. Supported by such a strong content portfolio in the third quarter the key operating metrics for Sohu video showed, impressive growth. For September, the video views and the total time spent by users were up 45% and 52% from June respectively. According to iResearch, for two consecutive months of August and September, on PC, Sohu video was the number one online video platform in China in terms of monthly unique visitors. On the mobile front, Sohu video witnessed even stronger growth. Our internal data shows that from June to September, user time spent on video views on mobile devices rose 67% and 115% respectively. According to iResearch, in the third quarter through August, Sohu video’s mobile traffic grew at the fastest rate in the three. Belinda will provide more details on our mobile video progress later. Our above efforts and achievements have significantly boosted Sohu videos brand and recognition among advertisers. We expanded our customer base and secured bigger share of marketing spend. In the third quarter, our video ad revenues grew about 60% from the previous quarter and more than tripled from a year ago. Also in the third quarter, we began to sell mobile ads and the initial response from customers was positive. Starting from fourth quarter, we plan to release one in-house produced web drama series each month, supplementing our purchased content offering. Today the overall traffic for Sohu video remains at a similar level as compared to that during The Voice of China period with mobile traffic continuing to grow. Looking out into 2014, we have started to purchase TV dramas to be launched next year. With our successful track record such as Diors Men and My Ex (inaudible), we will step up our investment on in-house produced content. And with increasing mobile traffic and it’s monetization becoming more meaningful, we remain confident in the outlook of our video business. Now moving on to our Changyou business; Changyou delivered a solid quarter and made steady progress on both gaming and other initiatives. I’d like to talk about its gaming business first. For MMO games, our flagship titled TLBB continued to be one of the most popular game in China. On October 25, we released an annual major extension pack for TLBB, called it New TLBB. Our team has been working on it for over a year. In the opening weekend of new TLBB’s release, we added 30 new servers for the game with almost all new servers operating near its maximum capacity. Such positive response leads us to believe we will see a rebound in monthly active accounts in the fourth quarter. For 2014, we plan to release a major annual extension pack for TLBB as well as a smaller scale extension packs every three to four months. At the same time we’ll ramp up our efforts on the licensing front by acquiring games from overseas to operate in China. For web games, in the third quarter, we released updates for DDTank and the Wartune, and revenues from both games grew. For 2014, we plan to launch around three to five new web games including self-developed and the licensed games. Lastly, I’d like to share with you Changyou’s progress on developing a user platform based on games. Over the past few quarters, through 17173, we have been developing a series of PC and a mobile application that provides solutions to address different needs of users. In the fourth quarter, some application are now ready for launch, including Mobile 17173, a mobile application that will allow users to access their favorite parts of the 17173 website on-the-go and Northernstar, a PC browser that improves game searching, optimized game playing and it gives users easy access to gaining resources. With the lining up of new game for PC, web and mobile platforms, and with mobile applications and PC products in the fourth quarter, we’ll significantly ramp up our marketing investment in both China and overseas by $53 million so as to further expand our user base and aggressively capture the market potential. And now, I’ll pass the call over to Belinda for an overview of our brand advertising business and some mobile product developments. Belinda?
Belinda Wang: Thanks Charles. For the third quarter, our brand advertising revenues demonstrated a strong momentum, with revenues up 60% year-on-year to $125 million. Online video ad revenue contributed most of this significant growth. Whereas our auto and real estate verticals as well as 17173 also showed strength. For the past few quarters, Sohu has accelerated the execution of our mobile strategy. Sohu News mobile applications continues its leadership position and we consistently enriched its contents and the functionalities to enhance user engagements. One new feature we recently added is that users can now make voice comments while watching live broadcasting programs. For Sohu video, as Charles mentioned above, in the third quarter, its mobile user base saw very robust growth. The new Sogou team found The Voice of China Season 2 an effective promotion measures, we added 30% more new mobile application uses than the previous quarter. To date, total number of active users of our video mobile applications reached 140 million. For Sogou, in the third quarter, our flagship application Sogou Pinyin mobile version gained more penetration by adding another 30 million new users now with 180 million monthly active users. For Changyou, after one year of preparation, it’s made good progress on mobile game initiative. For the next few months it will roll-out more high quality mobile games with 8 to 12 mobile games lined up. This include mobile versions of our major game titles like TLBB, DDTank and Wartune. Now, let me provide brand ad revenue guidance for the fourth quarter. Based on the current information, we expect first – for Sohu Group including 17173, brand ad revenues before tax to be between $132 million and $137 million. Two, net brand ad revenues to be between $120 million and $125 million. This implies a sequential decrease of 4% flat and annual increase of 46% to 52%. I would now like to turn the conference over to Sogou, CEO, Xiaochuan Wang to discuss Sogou business. He will present in Chinese, and an English translator will follow.
Xiaochuan Wang: (Interpreted). Thanks Belinda, hello everyone. As mentioned by Charles, on September 16, Sogou established a strategy in collaboration with Tencent and put the new Sogou at a much stronger foothold in the online search market. Immediately following the combination with Sohu, new Sogou’s market share in PC reached 13.5% whereas mobile search market share now stays about 16%. During the past 40 days, we have been devoting a considerable amount of our efforts on the integration with Soso, which is well on track in every aspect. The new Sogou team consisting of employees from Sogou and Soso are very upbeat about the vast opportunities ahead. We will also be migrating Soso’s traffic service and business over the next two months and expect to complete this transition by the end of this year. For the fourth quarter, we now estimated Sogou revenue to be between $68 million and $70 million that includes the impact of revenue loss due to the inefficiency aiming to service transition. Assuming the completion of integration, the quarterly revenue would have been about $5 million higher than the current estimate. Also after the integration, Sogou’s mobile revenue would contribute around 12% of New Sogou’s total revenue as compared with 4% for the third quarter. Other than Soso, we are looking to rollout corporation with Tencent and (inaudible). For example, later on in the fourth quarter, Tencent will recommend users both QQ and Sogou browsers through its client software. And QQ browser and Sogou browser both will become important to user itself for Sogou search. In addition, users will be more easily accessed to Sogou search on Tencent’s web properties. The similar collaboration has been proved effective in our prior experience between Sogou and Sohu partners. Looking ahead, as New Sogou continues to ramp up its search traffic, revenue growth will accelerate as well. I would now like to turn the conference over to our Co-President and CFO, Carol Yu, who will work you through the quarter’s financials.
Carol Yu: Thank you, Xiaochuan. Hello everyone. I will now take you through our financials for the third quarter. One, revenues; total revenues were $368 million, up 29% year-over-year and 9% quarter-over-quarter. Brand advertising revenues were $125 million, up 60% year-over-year and 25% quarter-over-quarter. Sogou revenues were $57 million, up 53% year-over-year and 14% quarter-over-quarter. Of this, search related revenues were $52 million, up 48% year-over-year and 13% quarter-over-quarter. The number of search customers and the average spend per customer increased by 32% and 30% year-over-year. Sogou revenues include Soso contributions commencing from September 16. Excluding the impact of the Sogou – of the Soso deal, on a non-GAAP basis, Sogou standalone was near the break-even level. Online games revenues were $161 million, up 7% year-on-year and down 4% quarter-over-quarter. Mobile revenues were $15 million, a year-on-year increase of 1% and quarter-over-quarter decrease of 5%. Now, let me provide some more details about our other financials. From now on, most of the figures discussed below will be non-GAAP. As a reminder, you can find a reconciliation of these non-GAAP measures in our official earnings release. Two, gross margins; non-GAAP gross margins for third quarter was 66%, flattish with the last quarter and the third quarter of 2012. Three; operating expenses; non-GAAP operating expenses were $188 million, up 55% year-over-year and 17% quarter-over-quarter. The year-over-year and quarter-over-quarter increases, were primarily due to an increase in the number of employees and higher expenses associated with marketing and promotional activities, especially for the mobile products of our brand advertising and online gaming business. Four, operating margins; non-GAAP operating margin was 15%, compared with 19% in the previous quarter, and 24% for the same period of 2012. Five, income tax expense; for the third quarter of 2013, both GAAP and non-GAAP income tax expense were $19 million. Six, net income; before deducting the share of net income, pertaining to the non-controlling interest, non-GAAP net income was $44 million. Non-GAAP net income attributable to Sohu.com Inc. was $20 million or $0.51 per fully diluted share. Seven, net margin; non-GAAP net margin before deducting the share of net income, pertaining in the non-controlling interest was 12%, compared with 16% in the previous quarter, and 21% for the same period in 2012. Eight, moving on to the balance sheet and cash flow statement; for the third quarter, we generated about $124 million in operating cash flow. Changyou generated $97 million, while operating cash flow for the other business units were $27 million. As of September 30, 2013, net accounts receivable was $153 million, compared with $139 million at the end of the second quarter of 2013. Brand advertising DSO for the third quarter was 57 days, compared to 64 days in the previous quarter, and 55 days for the third quarter of 2012. Nine, our outlook for the fourth quarter of 2013 is as follows; we are expecting total revenues to be between $378 million to $390 million. Brand advertising revenues to be between $120 million to $125 million. This implies a sequential decrease to flattish and an annual increase of 46% to 52%. Sogou revenues to be between $68 million and $70 million. This implies a sequential increase of 19% to 23%, and an annual growth of 66% to 71% benefiting from the organic growth plus a full quarter contribution from Soso partly offset by service transition inefficiencies. Online games revenues to be between $171 million and $176 million. Before deducting the share of non-GAAP net income, pertaining in the non-controlling interest, non-GAAP net loss to be between $6 million and $10 million. Non-GAAP net loss attributable to Sohu.com Inc. to be between $11 million to $13 million, and non-GAAP fully diluted loss per share to be between $0.30 and $0.35. Assuming no new grants of share based awards, we estimate compensation expense relating to share-based awards to be around $4 million to $5 million. Estimated impact of this expense is expected to reduce Sohu’s fully diluted earnings per share for the fourth quarter under U.S. GAAP at $0.12 to $0.14. This figure should not be used to calculate Sohu’s projected GAAP fully diluted earnings per share as there are other factors impacting such a calculation, for which no reconciliation is provided. Sogou’s strategic partnership with Tencent will help elevate the overall competitiveness of Sohu Group in China’s internet industry. With that, I’m taking advantage of our strong balance sheet and net cash of over $1 billion. We’re able to step up investments and execute aggressive expansion. This concludes my prepared remarks. Thank you for joining the call today. Operator, we would now like to open the call to questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions). The first question comes from the line of Dick Wei of Credit Suisse. Please ask your question.
Dick Wei – Credit Suisse: Hi, thank you for taking my questions. I have couple of small questions on video side of the business. First of all, I wonder if you can comment on the video traffic of The Voice of China. And secondly about the – for the video spend, budget links the content acquisition cost for next year, maybe can you discuss about the strategy, how much would be spent on in-house content versus acquired content. And is it more due towards the larger shows like this year or there would be put more towards the drama side? And lastly, maybe on mobile video, I wonder what kind of ad grade and ad lows companies are putting on right now? Thank you.
Charles Zhang: So, for the traffic of The Voice of China, it’s actually – it didn’t drop actually grow because the new users already have habits of coming to Sohu video. And also the success of the marketing and the promotion of the two major TV dramas already continue to solidify – to consolidate Sohu video’s position as the choice for TV dramas. So, actually we see the traffic continue to grow instead of dropping. And in terms of spending for the next year, right, the content cost is, I think it will remain about the same level as we did in 2013, you got that. And we will definitely to upgrade or ramp up our investment in in-house developed content, but generally speaking in-house developed content is very cost effective, it’s actually, you really spend smartly and create a content that’s really suited to the internet users like we did for the Diors Men and My Ex. So that the overall cost of the in-house development, although we ramp it up but it’s actually still represent a small part – small percentage of our overall content acquisition. And we will continue to both focus on – continue to focus on TV dramas and also American TV episodes and also some variety shows.
Dick Wei – Credit Suisse: Thanks Charles. Lastly…
Charles Zhang: Yes, the mobile traffic robust growth achieved 30% or – yes, between 30% to 40% growth of the mobile traffic on video. And we will start the monetization of mobile traffic.
Operator: Thank you. And the next question comes from the line of Eddie Leung of Merrill Lynch. Please ask your question.
Eddie Leung – Merrill Lynch: Hi, good evening. Thank you taking my questions. I have a question related to your traditional photo business excluding video. According to my calculation, it seems like the growth decreased for the traditional photo business. So, I’m wondering would you guys like to share more color on the advertising mix as far as the strength you have seen for your traditional photo business and how should we assume that into upcoming couple of quarters as against some of the advertisers would be preparing for next year budgets? Thanks.
Belinda Wang: Yes, besides the online video, the traditional photo revenue actually I think is that total annual growth rate is about 20%. We see the sequential increase from some vertical sectors like real estate, like auto. So, for the next year I think our rates won’t be slower than our peers.
Operator: Thank you. And the next question comes from the line of Fei Fang of Goldman Sachs. Please ask your question.
Fei Fang – Goldman Sachs: Hi everyone thanks for taking my question. My question is on Sogou. So, the quarterly revenue is expected to accelerate in the coming quarters. So, can you give us an update on the profitability outlook? And also how we’re targeting at any specific operating margin for 2014? I’m sorry, also relating to that some of your competitors have very specific traffic target for this year. I’m just wondering if you can share with us your target. Thank you.
Xiaochuan Wang: (Interpreted). I think we expect for 2014 in some quarter, a single quarter of 2014, the quarterly revenue will surpass $100 million for Sogou. So, margin wise we will see continuous improvement over time. We do see a upside room for I think both PC and mobile search traffic that Sogou can get in the next year as the collaboration between Sogou and Tencent will deepen in the coming months. Yes, so the marketing share will be increased in 2014 as compared to current.
Operator: Thank you. And the next question comes from the line of Philip Wan of Morgan Stanley. Please ask your question.
Philip Wan – Morgan Stanley: All right, thank you for taking my question. My question is on your mobile business on Sogou. Just, could you share with us how much of revenue, of mobile revenue is from search? And also going forward, what is the expected synergy between Sogou and Soso for the mobile services? Thank you.
Xiaochuan Wang: (Interpreted). As we discussed just now, after Soso’s integration, we expect the mobile revenue will account for about 12% of the total Sogou’s revenue. And the mobile search revenue will be around 15% of the total Sogou search revenue. And looking at 2014, as we see the pricing increase for mobile search will be faster than that for PC search so we expect that mobile revenue will contribute even higher percentage in our total Sogou revenues. So there are actually three parts of the complimentary effect or synergies between Sogou and Soso. The first, traffic wise, I think for Sogou is the, Sogou mainly rely on our organic – the traffic self versus Soso has very strong on the mobile front. And second is Sogou is quite good at the web search. Well, the Soso now has some very unique strength in some vertical search areas such as the – like the knowledge search as well as others. And lastly, in terms of the team or the tenant pool, we think Sogou is quite good at – we have a very strong team of developers versus Soso has quite strong tenant pool of the product of people. So for these three areas, we do see this as a very – we do – can generate a lot of synergies between these two to search services.
Operator: Thank you. And the next question comes from the line of Alicia Yap of Barclays. Please ask your question.
Alicia Yap – Barclays: Hi, thanks for taking my questions. I actually have a follow-up on the Sogou and Soso. So, can you share with us the total employee numbers that you took from Soso? And how much the cost impact would that be after you consolidated it? And I think management mentioned earlier excluding Soso on the Sogou standalones we are approaching breakeven in the third quarter. And so, when should we expect on a combined basis to also achieve the breakeven, what is the timeline for that? Thank you.
Xiaochuan Wang: (Interpreted). For now, we actually do know how to disclose the absolute number of absolute number of the Soso employees who join our team. And according to our internal estimate, after when the Soso service be integrated into the Sogou system it’s monetization capability will be significantly boosted. And Sogou also, reached the breakeven level.
Operator: Thank you. And the next question comes from the line of Chit Tsang of HSBC. Please ask your question.
Chit Tsang – HSBC: Good evening, thank you very much for taking my question. There is no lot of M&A in this space recently. And given your significant cash levels, I was wondering if you could update us on your M&A strategy? And secondly, I’m wondering if you could comment on the potential to partner with Tencent on video. Thank you.
Charles Zhang: Well, we definitely are constantly – have our radar screen looking at different kind of targets on the video side. And then we wait to decide whether we’re going to do it, invest internally or to acquire. And actually there is – there are not much properties out there that can right now that match – kind of have to – to have complimentary effect with us. And sometimes we need to probably invest – need to invest internally on the video. But we keep our mind open and…
Operator: Thank you. And the next question comes from the line of Jiong Shao of Macquarie. Please ask your question.
Jiong Shao – Macquarie: Thank you very much for taking my question. My question is on Sogou as well. Could you talk about, in your guidance for Q3, $68 million to $70 million revenue for Sogou, how much of that is from consolidation of Soso? And also just for business integration perspective, could you confirm once the sort of integration is done, the Soso brand will basically be gone. And how will you combine the two sales force from organization perspective? And lastly when you get traffic from Tencent properties, is that free or do you have to pay TAC for this transit? Thank you.
Carol Yu: This is a very long list of questions. We’ll try to reply, answer them one by one. I’ll turn over to Xiaochuan now.
Xiaochuan Wang: (Interpreted). So, for the Soso results, even its including the Soso’s contribution in the last half month of the third quarter. Sogou standalone revenues also reach our previous guidance. So, we do not disclose separate Soso revenues for now. So, the Soso brand, this brand – I mean, the asset will be over time integrated into the Sogou organization system over time as well. So, there will be no cost for us when Tencent factor is traffic from whole is the PC properties including the web properties as well as the client end software. We do have a commercial agreement with Tencent that we will have some revenue sharing arrangement in terms of the mobile corporation going forward.
Operator: Thank you. And the next question comes from the line of Jialong Shi of CLSA. Please ask your question.
Jialong Shi – CLSA: Hi, thanks for taking my question. I also have a few questions on the Sogou. Xiaochuan mentioned in the opening remarks, Tencent users will have more convenient access to Sogou search on PC. So, I’m just wondering if that is achieved by setting Sogou as default or the only search engine on Tencent’s web properties. Can you give us some examples on that? And also, what are Tencent’s web properties that will be part of the marketing channels for Sogou search going forward. And on mobile, in addition to Sogou mobile browser, just wondering if any other Tencent mobile assets such as We Chat that Sogou may leverage to grow its mobile traffic share? Thank you.
Xiaochuan Wang: (Interpreted). So, according to our the corporation framework with Tencent, one the users with Tencent web page properties or website, we will have some technology to enable the users to make use of the Sogou search more frequently. Okay, I think the deal has just been announced about 40 days ago. So for the past 40 days, our major attentions has been put into the integration. So we have now – discussing very intense level with Tencent on mobile development. So, maybe we will just keep you updated as we have the – further progress.
Operator: Thank you. And the next question comes from the line of Alex Young of JPMorgan. Please ask your question.
Alex Young – JPMorgan: Hi, good evening everyone. Thank you very much for taking my question. My question is on the mobile apps monetization size. So, as Charles mentioned in this quarter, the mobile traffic contributed roughly 30% to 40% of the total traffic. But you guys just mobile traffic monetization in this quarter. Why did you guys under monetize very rapid growing portion of the total traffic in the first half of this year. And what chance and what happened in this quarter that makes you guys comfortable to monetize mobile? Thank you.
Charles Zhang: Yeah, I said that the growth of the mobile traffic between 30% to 40%. Yeah, we haven’t – we didn’t – we haven’t started monetize on mobile traffic – really on a full scale. The remaining reasons, first of all this is, really a new area that it’s – you need to fit into a small screen that we need to consider the customers feel – look and the feel. And also especially in 3G environment where people watch video. And then people have to bear with us the advertising into sometimes also called traffic cost customers money. So, we’re kind of careful in terms of monetization mobile traffic. But eventually we will and probably instead of like having three or four TV commercials preload, we’ll probably have one or two. And also, we need to distinguish between Wi-Fi environment and also 3G environment. And also I think the mobile monetization, one of the importation monetization aspect of mobile is really subscription and payment. Overall for video, I think it’s – but that depends on the war on piracy because there is still rampant piracy of a video content especially movies and American movies in China by certain sites or application. We need to fight piracy and we need to wage a war on piracy. Until we resolve this piracy issue for movies, I think the industry as a whole will launch Ba Bu Long subscription services where customer pay. And that will also, that is important development of video business structure that will improve the overall profitability prospect for the industry.
Operator: Thank you. And the next question comes from the line of Wendy Huang of Standard Chartered. Please ask your question.
Wendy Huang – Standard Chartered: Thank you. Two quick questions. The 16% mobile search market share is by what nature is it search queries or by the page views? And secondly the non-gain segment has been loss making ever since first quarter 2012. When shall we expect the non-gain segment to maybe breakeven as a whole? Thank you.
Xiaochuan Wang: (Interpreted). So, let me talk something about market share. We refer to the search query. So it is actually equivalent term I think with that page view.
Carol Yu: Sorry, we didn’t hear your second part of the question very well. Can you just repeat it?
Charles Zhang: Yeah, I got it. I think it’s the probability of Sohu Group excluding Changyou gaming is – it really depends on whether we can have a profitable and successful video business because that’s a very cost driven business. So, as I said, first of all we need – the whole industry are fighting for market share in 2014. But there are developments of prospects for a more efficient monetization like subscription, transaction and subscription based. And also a better advertising. So, with that – and also we will continue to improve our profitability, the scale of profitability for our verticals like real-estate and auto and others that depend on these factors, the Sohu Group excluding Changyou term possible. That’s not hard.
Operator: Thank you. Due to time restrictions, we will have one last question. And that comes from the line of Muzhi Li of Citigroup. Please ask your question.
Muzhi Li – Citigroup: Well, thank you very much taking my questions. Charles, you mentioned about the mobile – video advertising. And I would like to ask you to elaborate more about the mobile advertising format. This is mainly coming from the brand advertising or you think at the current stage you’re going to see the ad more come from the directing the traffic? Thanks very much.
Charles Zhang: Well, it’s – I think it’s both. It’s display advertising to exposure the brand, at the same time to – if you click that TV commercial it would direct the traffic to certain, yes – it’s – yeah, it’s basically display advertising. Yeah, it’s brand advertising. And we don’t direct traffic to other sites. We are best addition site we would provide the best content.
Muzhi Li – Citigroup: Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your kind participation. You may all now disconnect.